Operator: Good day, and welcome to the Arch Resources, Inc. Second Quarter 2021 Earnings Conference Call. Today's conference is being recorded. I would now like to turn the call over to Deck Slone, Senior Vice President of Strategy. Please go ahead.
Deck Slone: Good morning from St. Louis, and thanks for joining us today. Before we begin, let me remind you that certain statements made during this call, including statements relating to our expected future business and financial performance, may be considered forward-looking statements according to the Private Securities Litigation Reform Act. Forward-looking statements, by their nature, address matters that are to different degrees, uncertain. These uncertainties, which are described in more detail in the annual and quarterly reports that we file with the SEC, may cause our actual future results to be materially different than those expressed in our forward-looking statements. We do not undertake to update our forward-looking statements, whether as a result of new information, future events or otherwise, except as may be required by law. I'd also like to remind you that you can find a reconciliation of the non-GAAP financial measures that we plan to discuss this morning at the end of our press release, a copy of which we have posted in the Investors section of our website at archrsc.com. Also participating on this morning's call will be Paul Lang, our CEO; John Drexler, our COO; and Matt Giljum, our CFO. After our formal remarks, we'll be happy to take questions. With that, I'll now turn the call over to Paul. Paul?
Paul Lang: Thanks, Deck, and good morning, everyone. We're glad you could join us on the call today. I'm pleased to report that the Arch team continue to execute at a high level in the quarter just ended, making strong progress on a wide range of strategic and operating metrics. In our core metallurgical segment, we delivered another top-tier cost performance for the quarter, captured a nearly 50% increase in gross margin, generating more than $61 million, achieved a 20% increase in sales volume and drove towards the finish line at Leer South with determination, efficiency and purpose. In our legacy thermal segment, where we're focused on simultaneously harvesting cash and paring down our long-term closure obligations, we generated nearly $40 million in gross margin, achieved a nearly 25% increase in sales volumes during a traditionally light shipping quarter, expanded our 2021 sales commitments by roughly 7.6 million tons. And we completed $15.5 million of reclamation, reducing our Powder River Basin asset retirement obligation. In short, the team hit on all cylinders while laying the foundation for still greater success in the future. When you factor into the equation the much improved dynamics we're now seeing in both the coking and thermal coal markets, we believe the stage is set for a strong and value-creating second half of the year. Clearly, we had a number of significant accomplishments in the second quarter. However, the most consequential of these developments, in my view, was the progress we made in bringing the Leer South mine to near completion. In many respects, the start of this best-in-class growth project in less than a month will represent the culmination of Arch's discipline, and carefully orchestrated 10-year effort to build a truly world-class coking coal franchise. We're confident we've done just that. With the powerful foundation of the Leer and Leer South longwall mines, which we expect to operate in tandem for the next 20 years, we believe will solidify our strong and durable position as the low-cost coking coal supplier in the United States and the premier supplier of High-Vol A coking coal globally. Notably, we expect to realize the benefits of the new Leer South volumes in very short order. At the time when the overall industry is struggling to contain costs and maintain volume levels due to underinvestment, we expect Leer South to drive our already highly competitive unit costs lower to further enhance our high-quality metallurgical product slate and to expand our overall coking coal output by an incremental 3 million tons per year. Moreover, we believe we're poised to ramp up the new mine into a strong and resurgent market environment, an eventuality that we had envisioned many months ago and that fortified our commitment to move ahead with the project despite all of the significant pressures associated with the global pandemic over the past 15 months. Most important of all, of course, is the fact that Leer South will further enhance the already considerable cash-generating capabilities of our coking coal portfolio through a wide range of market environments. In summary, we expect Leer and Leer South to serve as the core of the Arch value proposition for decades to come. Complementing our strategic pivot towards steel and coking coal markets, of course, was the decision to shift to a harvest strategy with our legacy thermal assets. The plan on that front remains the same as we've said in the past and is very simple. We're going to optimize cash generation, minimize capital spending, have systematically reduced our long-term closure obligations. We delivered on all 3 aspects of this plan in a very significant way in Q2, as previously noted. As you know, we've been exploring strategic alternatives for our highly competitive thermal assets in the event that we could identify a way to bring forward the remaining cash flows associated with these operations in a structured and responsible manner. To date, we've been unsuccessful in this effort, and we're comfortable with that fact. I say this because we continue to believe that our thermal assets with their low-cost, high-quality products and talented workforce are in an excellent position to generate cash in excess of their final closure obligations. In addition, we believe Arch is well equipped to manage the long-term winding down and reclamation of these assets in a way that aligns with our commitment to the highest ESG principles. In particular, we believe we're well equipped to balance the long-term imperative of a net 0 carbon future while balancing the interest of our thermal employee base, the communities in which these mines operate and our customers that continue to rely on thermal coal to provide affordable and reliable power to our consumers. The progress we reported in the second quarter where we generated a gross margin of nearly $40 million with our thermal assets while at the same time making significant progress shrinking their operating footprint underscores why we believe we can do this effectively and in a value-creating way. Before turning the call over to John, let me share a few brief thoughts on the markets. As discussed, steel markets are in full and robust recovery mode at present. Global steel output on pace to return to 2019 levels, if not above, during 2021. Those strong market dynamics spurred steel prices elevated and even historically high levels starting in mid-2020 where they remain today. Fortunately, after the lag related to Chinese import policies, global coking coal prices have now followed steel and iron ore prices higher. Moreover, we believe the current market -- the current pricing is well supported by ongoing steel demand and constrained coking coal supply growth. With our significant exposure to market-based pricing, we believe we're in an exceptional position to capitalize on these positive market dynamics in the second half of the year, particularly with Leer South volumes entering the mix in the very near future. I would also note that thermal coal demand and pricing in both the domestic and seaborne markets are stronger than we've seen in many quarters. This resurgence in the thermal markets is driven by natural gas trading above the $4 level at home and a strong global economic expansion supporting prices internationally. While our strategy for managing the long-term wind down of our legacy thermal assets remains unchanged, these market dynamics have the potential to facilitate significant levels of cash from these mines as the year progresses. In closing, let me reiterate that we remain sharply focused on executing on our consistent and clear strategy for long-term value creation and growth. We expect steel demand to remain strong in the near to intermediate term as the global economy recovers, infrastructure-driven stimulus efforts pick up steam and the build-out of a new low-carbon economy resumes. With our low-cost metallurgical assets, high-quality product slate, industry-leading ESG performance, top-tier marketing and logistics expertise and a nearly complete best-in-class growth project, we believe we're in an excellent position to thrive in such an environment. With that, I'll now turn the call over to John Drexler for further details on our operational and marketing performance during the second quarter as well as additional comments on what we're expecting in these areas for the balance of the year. John?
John Drexler: Thanks Paul, and good morning, everyone. As Paul just discussed, the Arch team made excellent progress on virtually every one of our primary operating objectives during the quarter just ended. It was an impressive performance by almost any measure, and I want to thank the entire workforce for their exemplary work, great dedication and consummate professionalism during a tremendously busy and eventful time. Before I go any further, I want to take a moment to recognize the loss of a life at one of our operations. One of our valued team members, Jeff Wendland, sustained a fatal injury last week while performing a repair at Black Thunder. Jeff was 31 years old and worked as a millwright at the mine alongside his mother, father, sister and brother. He had been a member of the Black Thunder family for 13 years and leaves behind a wife and four children. We are keeping Jeff and the Wendland family in our thoughts and prayers during this difficult time. Let me begin with a quick recap of the performance of our core coking coal segment during the second quarter where we boosted our shipment levels by roughly 20%, expanded our per ton margin by 25%, increased our gross margin by nearly 50% and achieved a small but meaningful reduction on our already first quartile cost structure. At the same time, we are within weeks of completing our transformational growth project at Leer South. In summary, we demonstrated clearly and compellingly that we have a potent cash-generating engine in place today and that we are on the verge of bolstering those capabilities significantly in just a few weeks' time. Let me take a few minutes to expand further on the status of Leer South, where the team is driving towards the finish line with focus, dedication and energy. Late last week, the project team commenced a planned 30-day suspension of development mining during which we will be performing the final preparations for the start-up of the longwall. Specifically, the team is in the process of tying the greatly upgraded conveyance systems, which must now accommodate a fourfold increase in volumes to the new preparation plan. At the same time, we begin to transport all the longwall equipment underground and into the setup room using the brand-new rail system. Once those final capstone activities are completed, we plan to start up the longwall at the end of August. It's a momentous development for Arch and a remarkable achievement for the project team and the organization as a whole. In a span of just 2.5 years, a time period that included a global pandemic, the Leer South team has brought this large and multifaceted project to the cusp of completion on time and effectively on budget. I want to commend the entire workforce for this truly impressive achievement which, as indicated, sets the stage for tremendous value creation for all of our stakeholders in the decades ahead. While we expect to take a few weeks to work the kinks out and to hit our stride, we fully anticipate that the new longwall will be making a significant contribution to cash generation in Q4 and that it will be more or less fully ramped by the beginning of 2022. We are excited by the immediate benefits in volumes, cost performance, product quality and margin generation and thrilled by the market environment into which Leer South is expected to ramp. As a reminder, we expect Leer South ultimately to generate up to 4 million tons at cash costs in the low $50 per ton level, a level that positions Leer South like its sister mine Leer to generate cash in a wide range of market environments. When markets are strong as they are now, that cash-generating capability is expected to be more significant still. At today's High-Vol A price of $199 per metric ton, for instance, the netback per short ton after taking into account transportation is around $145 per ton. Such a margin promises to have an immediate impact on the corporation's overall financial performance quite clearly. Let's transition now to our legacy thermal segment, which also turned in an impressive performance during Q2. As Paul indicated, our primary focus with this segment continues to be the harvesting of value even as we simultaneously shrink our operating footprint and reduce our long-term closure obligations. But our Q2 performance highlighted yet again that the cash generating potential of our thermal asset base remains considerable and that we have the potential to accomplish a great deal in a fairly compressed time frame. During the quarter just ended, we generated a gross margin of nearly $40 million and expanded our per ton cash margin nearly threefold from $0.98 per ton in Q1 to $2.62 per ton in Q2. We did this by moving quickly to capitalize on improving demand and pricing dynamics in both the domestic and international marketplace. In fact, we achieved a nearly 25% increase in our sales volumes during Q2, which is traditionally the lightest shipping quarter of the year as we moved quickly to fill customer orders at a more than ratable pace and to take advantage of emerging spot demand due to escalating natural gas prices, hot weather and a pickup in economic activity. Importantly, we also mobilized quickly at West Elk in response to much improved export market conditions, nearly doubling our shipments at that mine quarter-over-quarter. Equally important, we also made great progress on our ongoing efforts to systematically work down the long-term closure obligations, principally through our accelerated closure efforts at the Coal Creek mine. Since the beginning of the year, we have reduced our Powder River Basin asset retirement obligation by nearly 10%, and we expect to make significant additional progress during the year's back half. I also want to provide you with a quick rundown of our marketing activities in Q2 as we acted to take advantage of the significant strength in both metallurgical and thermal markets. In our core coking coal business, we committed an additional 300,000 tons for delivery in 2021, bringing our total commitments to 7.1 million tons and leaving just 700,000 tons still to sell at the midpoint of our overall sales guidance. I would add that we are seeing very substantial interest in our limited remaining volumes and anticipate having the opportunity to place them in a selective and strategic manner given ongoing market strength. On the thermal side, we committed an additional 7.6 million tons for delivery in 2021, which prompted us to raise our annual sales volume guidance by 5 million tons. Again, we expect these incremental sales to be highly leveraging to boost our thermal cash generation significantly. Before wrapping up, let me share one quick highlight from our intensive and ongoing efforts to extend our industry leadership in the environmental, safety and governance arena. In May, we became the first U.S. metallurgical coal producer to join ResponsibleSteel, an ESG-driven standard and certification initiative for the global steel industry. We view ResponsibleSteel as a valuable form for collaborating with our steelmaking partners as together we endeavor to create a more ESG-compliant steel value chain. In summary, we are pleased with the strong ongoing momentum and commitment to operational excellence in our metallurgical franchise and tremendously excited to be on the cusp of augmenting and expanding our capabilities still further with the Leer South startup. Likewise, we are pleased with the steady and ongoing progress in our thermal strategy where the thermal team again demonstrated our still significant capabilities for generating cash even while driving forward with an accelerated reclamation plan. With that, I will turn the call over to Matt for thoughts on our financial performance. Matt?
Matthew Giljum: Thanks, John, and good morning, everyone. I'll begin as usual with the discussion of the quarter's cash flows and our liquidity position. Operating cash flows in the second quarter totaled just $20 million, as we experienced another significant build in working capital. Metallurgical prices and thermal volume strengthened throughout the quarter, resulting in a substantial increase in our accounts receivable. Additionally, as Paul noted, we spent more than $15 million in the quarter for reclamation in the Powder River Basin. Capital spending for the quarter was $71 million, including $50 million of Leer South project development and $8 million of capitalized interest. Maintenance capital for the quarter totaled just $13 million, with substantially all of that related to the metallurgical segment. We finished the quarter with unrestricted cash of $187 million and total liquidity of $242 million. Cash declined from the first quarter, but as expected, availability under our credit facilities increased meaningfully, in line with the higher working capital. While quarter end liquidity is below our preferred level, we anticipate that June 30 will be the low point as cash generation improves and capital spending declines in the back half of the year. Turning to the balance sheet. While our total reported debt is largely unchanged from March 31, the amount classified as a current liability has increased by more than $100 million, as a result of a change in the presentation of our convertible notes. The note indenture includes a stock price threshold that was exceeded during the second quarter, which means the notes are now convertible at the option of the holder during the third quarter. The notes trade at a premium to the if-converted stock value. So it is extremely unlikely that any holder would elect to convert. However, because the option to convert is not within our control, the GAAP rules require the debt to be classified as current. Unsurprisingly, we have had no holders convert thus far this quarter. The convertibles are also impacting the earnings per share calculation for the first time this quarter. That calculation assumes that we would settle the par amount of the notes in cash and any premium with shares, which results in approximately 1.2 million shares included in the fully diluted share count for the second quarter. While the cap call that we purchased as part of the note transaction would offset substantially all of that dilution, the accounting rules do not allow that to be reflected in the EPS calculation. Next, I'd like to comment on a few aspects of our guidance for the remainder of 2021. As John noted, we have committed additional volumes in our thermal segment and have increased sales guidance by 5 million tons at the midpoint, and our DD&A guidance shows a corresponding increase. Our cash SG&A is now expected to be $66 million at the midpoint, largely reflecting increased marketing and logistics expense associated with export thermal shipments, along with increased incentive compensation accruals resulting from expected strong operating and financial performance. Capital spending is now expected to be in the range of $210 million to $230 million, with the increase attributable to the modest additional capital required to complete the Leer South development along with opportunistic optimization efforts elsewhere in the metallurgical segment. While we don't provide specific guidance for cash flows, we currently project strong cash generation for the remainder of the year, given current market conditions and reduced capital spending. While working capital will likely remain elevated, we would not expect to see increases similar to those we have experienced thus far this year. As we consider how to deploy these cash flows, our immediate priorities will be fortifying our liquidity position and paying down debt while simultaneously reducing reclamation obligations. With that, we are ready to take questions. Operator, I will turn the call back over to you.
Operator: [Operator Instructions]. Our first question is coming from David Gagliano with BMO Capital Markets.
David Gagliano: My first question is actually related to the information provided in the press releases regarding incremental pricing on the met side. And I just wanted to see if you could square it with the commentary on the call. Specifically, it looks like 1.3 million tons of met were priced -- committed and priced in the second quarter, if you kind of back into the math versus what was disclosed. In the first quarter, it works out to about $106 a ton of those incremental tons. And I'm wondering if you could just kind of comment on either the quality of that coal or the timing of that pricing considering your commentary earlier about netback for High-Vol A pricing right now being $145 a ton?
John Drexler: Yes. Dave, this is John Drexler. So as you look over the course of the quarter, obviously, there was a lot of movement in market price. And so depending on when vessels shift and the timing of those vessels, it could have had a significant influence on the pricing. If you look at the portfolio of the 75% of our volume that is exported, we've kind of stayed consistent that the splits of that export is going to line up with the splits of our production. So about 70% of our met is High-Vol A, 15% Low-Vol, 15% High-Vol B. So while not getting into a great level of detail and vessel-by-vessel shipment and quality by quality, if you spread that all across the board of the quarter and the average pricing, at least in the way we're doing the math, you do kind of average back to some of the numbers that you've targeted that you've indicated there. Clearly, though, the opportunity as we sit here today is significant improvement in market pricing as we look to the back half of the year. Demand remains very strong. Supply response has been not significant. We've seen customers struggle to get some of the committed volumes that they were supposed to get from other producers. I think that speaks to the tightness of the market. And so we think there's tremendous opportunity that we have in the back half of the year with the remaining volumes we have to ship where we think pricing we expect to remain for some period of time here.
David Gagliano: Okay. So just as a follow-up, is it reasonable then to expect that other -- I think it's another 2.2 million tons of seaborne met left to finalize in terms of pricing. I think that's a number. Is it reasonable to expect that on average to be up in that $145 or higher zone that you mentioned?
John Drexler: Well, right -- I mean, I guess it's all going to be dependent on where the market goes. But where we see the market strength right now, I think our expectation is you would expect to see that. Obviously, our exports are going to Europe, South America, growing opportunity into Asia as well in a variety of pricing mechanisms. Obviously, the markets have been volatile. But once again, as we sit here and look at the market today, we remain confident that we'll see a significant and meaningful uptick in pricing as we go forward.
David Gagliano: Okay. That's helpful. And then just last part of that question, direct sales into China. I know previously, there was commentary around 300,000 tons, I think. I don't think we heard anything new last quarter. I'm wondering if you can talk a little bit about any incremental progress on direct sales into China. And then my last question, which is completely unrelated, on the debt side and the free cash flow generation. Obviously, with Leer South coming down, if you could just talk to sustaining your sort of expectations for CapEx on a go-forward basis and then the plans for the free cash flow in terms of priorities over the next couple of years?
John Drexler: Yes. So Dave, obviously, the opportunity for the industry in the U.S. to export into China is one that has opened over the course of the year with the position that China has taken with imports from Australia. There's been a lot of speculation on how long that opportunity would last as we sit here and as time plays out. As we all know, things can change very quickly, but it appears that this is likely to remain in place for some time. As a result, we've seen a growing opportunity to get volumes into China. As you referenced, we entered into a term deal, beginning Q2 of 2021, lasting through Q1 '22, a vessel a quarter. In addition to that, we've seen additional opportunities to put vessels into China. Right now, we've got 3 vessels that we expect to go to China in Q3 and an opportunity for 3 additional vessels in Q4. Now the Q4 opportunity that we see there will all be dependent on where we can optimize value -- And -- but clearly, the opportunity is there with where the strength in the market is, there's a good opportunity those may go into China. We'll see where things continue to play out, but the volumes that we've been selling into China have been well received. The High-Vol A quality is something that we think will have a growing opportunity as we see customers in China get to utilize that quality of coal and see its flexibility and utilization. And so we'll continue to take advantage of the opportunity that we see into China.
Deck Slone: And Dave, the Chinese buyers continue -- and this is Deck. The Chinese buyers continue to buy on a pretty prompt basis. So we don't have perfect visibility into Q4 yet. But the other point that we would want to note is the premium low vol price has moved up significantly from where we were only a few months ago when the gap between U.S. East Coast pricing and Australian pricing was so significant. So now that you've got that much stronger premium low-vol price available, we can look at other opportunities in Asia as well and sort of determine where is the best place to place those volumes. And of course, the overlay always is what's strategic for long term. So we're trying to make sure we place those tons in the most strategic manner, certainly trying to capitalize on the market strength we see today and avail ourselves of that opportunity. And obviously, in the end, try to figure out the best economics, both sort of the shorter term and the longer term. So again, still some moving parts there, but the opportunity for Q4 also looks like it could be significant into China, should we decide to move forward on that.
Paul Lang: And Dave, I guess I'll try and pick up the last two parts of your question, if I got them right. I think as we've said in the past, our expected kind of go-forward maintenance CapEx, let's call it, $100 million plus or minus. I think there's a few optimization projects that are out there. But at the end of the day, that's kind of the ZIP code we ought to be looking at. And I guess on to the general question on cash flows and future uses, as you would imagine, with the completion of Leer South coming right around the corner and the good quarter we had in Q2, these conversations are getting a lot more serious and a lot more detail. We've not finalized anything specific, but generally, the outline of what we're thinking is pretty much what we said in the past, first and foremost, we're going to fortify the balance sheet and reduce a portion of our debt. Second, we're going to continue to systematically address the long-term closure of the thermal assets. That's either going to be through accelerated reclamation or through the establishment of a sinking fund. And finally, and probably just as importantly, we're going to reward our shareholders for their investment and faith in this management team with a share buyback or a capital return program. What we haven't settled on is the vehicle we're going to use for the capital return. I think I foresee restarting the dividend at some point in time, that we'll either go back to some share of the buyback program or special dividends. The timing of this, of course, is all going to be dependent on the market. If things stay as strong as we think they are for the next quarter or 2, this could move quickly. If you think back to the presentation we did on Leer South in 2019, at today's prices, the payback of that mine is 18 months. I mean, the cash generation capability is amazing. The good news out of all this is excess cash is a high-class problem, and I assure you we'll approach it with thoughtfulness and care.
David Gagliano: Okay. Those answers are all very helpful. I just have two really quick follow-ups, I'm sorry, but these are my last ones. First of all, you mentioned 3 vessels in the third quarter. How much coal is on each vessel? I don't know the answer to that. And then secondly, just on the -- I'm sorry, I didn't catch the -- what's a reasonable expectation on capital spending moving forward on an annual basis? Those are my two questions.
John Drexler: Yes. So Dave, typically, with what we're shipping off the East Coast, you're seeing those typically in Panamax size vessels to 75,000 metric tons per vessel is the opportunity that we see going into China.
Deck Slone: We are, Dave, looking for opportunities and finding some opportunities to upsize those. So that's the goal. But as John said, that's the sort of the standard vessel size.
John Drexler: And on the CapEx front, as Paul indicated, that run rate going forward, we expect to be roughly around $100 million on an annual basis from a run rate perspective. So clearly in a position to be, as a company, generating significant -- substantial amounts of cash flow to more than cover the modest amount of maintenance capital that we need across our operations.
Operator: Our next question is coming from Lucas Pipes with B. Riley Securities.
Lucas Pipes: My first question is on the thermal coal ARO. It came up a few times in your response to the prior question kind of ties in the overall capital needs. And I wondered, can you remind us what sort of figure from an economic perspective you're looking at today? And then over what period of time do you look to address that ARO?
John Drexler: So Lucas, we've indicated from an ARO perspective that we're roughly at approaching $200 million on an ARO basis. We indicated that over the course of the first half of the year, we've been able to take steps and efforts to bring that down substantially 10%, primarily through the focus of the closure of our Coal Creek operation. Our Black Thunder operation also has opportunities to continue to address its footprint at the same time, continuing in an effort as we see today to take advantage of market opportunities and to generate cash well in excess of our reclamation needs as we go forward. As we've indicated, and Matt can provide some color as well, in periods of time where we have opportunities to reclaim like we have now, we will take that cash flow and spend it there. And then as we move forward, we envision in periods of time where we don't have as significant of an opportunity to be performing final reclamation to be taking those excess cash flows and committing them to reclamation as we move forward.
Matthew Giljum: Yes. And Lucas, just to add on to that, John mentioned the roughly $200 million of ARO. As we look at the end of the year with the work that we've performed year-to-date and looking at the remainder of the year, that number is likely to be closer to $160 million as we get to the end of the year. When we look at the discussions with the sureties and kind of how we'll address that moving forward certainly see some contribution to a sinking fund likely late this year well within the cash flows that we're generating on the thermal side of things. And then the sureties would probably prefer to see something more systematic moving forward. And I think that's something that as we look at the way the business is trending that makes sense to us as well. Ultimately, what we'll be doing, as John said, periods where we're performing a lot of reclamation, probably contributing less to a fund like that in periods where we're doing a lot less work contributing a little more, but really tying that to the cash flows that we're generating really on the thermal side of things and making sure we're keeping a solid base of liquidity and addressing the other needs we have such as debt reduction and refinancing.
Deck Slone: Lucas, it's Deck. And just to reiterate, look, the gross margin in the thermal segment was about $40 million this past quarter. I think we've indicated that, that could be stronger still in the third quarter with some of the developments we've discussed in the pricing strength, et cetera. So you can see that versus a $160 million ARO, we're generating a very significant amount of cash and can not only do what we're doing at Coal Creek, which is directly reduced the liability, in pretty short order, begin to decrease feed that liability in a significant way with those thermally generated assets, which we think is key and make sure that the thermal assets are self-sufficient that we put aside some cash for their final closure obligations, but that also there's meaningful cash left over for general corporate purposes.
John Drexler: And Lucas, as Paul indicated in his remarks, our focus and our strategy longer term, I mean, I think we're very clear eyed with -- in the long term, what's going to happen with thermal coal generation with the ongoing announcements of retirement plans, et cetera. As we've indicated, for some time now we'll be responsive to that. We expect our footprint will continue to shrink from a production standpoint. We're going to be responsible to the market. We continue to believe we've got a Tier 1 asset base and the ability to produce low-cost thermal production and supply the needs while generating cash. But once again, that will all be dictated by where longer-term market demand takes us, and we're executing and planning for that as we move forward. Clearly, right now, though, we're in -- and we have an opportunity to generate meaningful cash, which we're doing from our thermal assets.
Paul Lang: I guess, Lucas, just one final thought on all this and kind of standing back. When we entered the year, we had laid out a plan of about 18 months and, call it, $50 million or $60 million to reclaim Coal Creek. As we're 6 months into this, we're well ahead of that and the costs are lower. I mean, Drexel and his team are doing an outstanding job of getting this done. And it's the very issue that we've talked about in the past. We think these liabilities are conservative, and we're doing a great job, taking care of them in a very systematic way. And the mines are carefully and forcefully bringing those cash flows to bear even while we're doing this work.
Lucas Pipes: That's very helpful. I really appreciate the comprehensive response from all of you. My second question is two layered. Layer one, as we look out to the completion of Leer South and then 2022 met coal volumes, what's a reasonable range to expect there? And then typically, over late summer, domestic contract season kicks off. And obviously, very strong steel prices in the domestic market and a very strong market environment there. How may this factor into your decision to sell more domestic versus export? Export prices, of course, you mentioned earlier are very robust as well. So would appreciate, one, volume outlook, rough range there and then how you think about marketing commercial aspects.
John Drexler: So Lucas, yes, regards to Leer South and bringing it up online in August and maybe to transition to an annual run rate basis, we have always envisioned Leer South being the sister operation to Leer, essentially similar longwall systems, similar conditions what have you to produce kind of in a similar format to Leer over time as we get it ramped up and get it running. So Leer South, ultimately, we envision producing up to 4 million tons of metallurgical coal. As we have indicated in previous discussions about bringing it online into our portfolio, we expect a step-up in our annual metallurgical production from 7 million tons on an annual basis prior to Leer South to 10 million tons subsequent to Leer South. As a reminder for everyone, the Leer South operation was built out of an existing continuous miner operation called Sentinel. Sentinel operated in a different seam, the Clarion seam. It did produce High-Vol A. But that mine essentially has been transforming from that smaller continuous minor operation at 1 million tons a year into what is now Leer South, ultimately a 4 million ton a year operation. So that's kind of the difference in the step-up of 3 million tons while Leer South will be producing at a 4 million-ton -- up to a 4 million-ton annual run rate, if that makes sense.
Paul Lang: Relative to your second question, I think, as I caught it on the domestic sales, we are starting to see those RFP come out. Yes. Luke, I think you rewind a couple of years, we were about 50-50, 4, 5 years ago, domestic, international. That's continued to drop to about -- we're going to be at about 25% this year. Lucas, I could see us dropping considerably from that. We set this up with the intent of being able to export most of this coal. If you recall, we did the deal with DTA where we expanded our capacity. And we also set up our agreement with CSX at Curtis Bay. So our eyes are set predominantly on the international market. Look, if the domestic prices work out and there is a value to have a certain amount of domestic sales for reasons, everything from train cycling to how fast we are paid. Look, we'll gladly take it if the value is there, but we're quite comfortable putting all this coal into the international market if we have to.
Deck Slone: Luke, this is Deck. And on timing, just -- it does appear perhaps it's going to be slightly later this year. So we could see settlements occur somewhat later than they have in the past. But as Paul said, we're very comfortable with that and very relaxed about the process. And if the value is there, great. And if it's not, again, we will continue to set our sights on the much bigger market, which is the seaborne market. And just as a reminder, the seaborne market is a 350 million ton market. North American market is arguably 17 million or 18 million tons. So in any scenario, we're primarily focused on the seaborne market. If we end up being 100% committed in the seaborne market, that will work for us.
Operator: Our next question is coming from Nathan Martin with The Benchmark Company.
Nathan Martin: Congrats on the quarter. A lot of my questions have been addressed, but maybe I'll just go with a few operational type modeling questions maybe. First, if I look at the met side of the business, I look at the first half sales. Can you let us know maybe how much of the sales are domestic business? So I guess, in other words, of the 1.8 million tons you guys have committed and priced for the year, how much of that is still left to ship here in the second half?
John Drexler: So Nate, I think just once again, without getting into a whole lot of specific detail and just running with kind of what we've always applied is our general guidelines, about 25% of our overall sales are into the domestic market. Having worked through half the year on that, you would expect that half of that has been shipped although there is a late closure season at the beginning of the year, but that also affects right at the end of the fourth quarter as well. So once again, just as a general guideline, I'd say we're 50% through our domestic commitments.
Nathan Martin: Okay. And then maybe just going over to the thermal side of the business, a great quarter there. Obviously, you guys raised full year guidance shipment guidance by 5 million tons. You mentioned in your release, you expect another strong performance in 3Q. Is that both from a shipment and cost perspective? And then maybe any commentary on how shipments broke down in the quarter between PRB and West Elk? And how you see that evolving here in the second half with both domestic and international demand quite strong?
John Drexler: Yes. So from an overall perspective, we've been very pleased with what we've seen in the thermal markets. As we look at the opportunity to place additional volumes into those markets -- we put 7.6 million tons to bed. About 80%, 85% of that was associated with Black Thunder. West Elk had the remaining 15%, 20%. So that splits to about 6 million tons for Black Thunder, 1.5 million for West Elk. We indicated that the opportunity to export for West Elk opened up and opened up meaningfully. So we've taken full advantage of that and work to get West Elk to a position where it's fully loaded for the position that it's in, and we've made great progress and essentially are there. At Black Thunder, I'd say we're arguably to a point where we're essentially sold out as well just given kind of the profile that we see. The opportunity for the third quarter, from a shipment perspective, is it's typically traditionally the strongest quarter of the year in the basin. For the first time in many quarters, the second quarter, which is typically the weakest, was very strong for us in the basin, once again, I think, speaks to the tightness in the market and the demand that's out there. That additional volume is helping, obviously, from a cost perspective. I haven't touched on this, but might as we'll do it here. Overall, given the strength in the economy and what we see from cost pressures, we do expect some modest inflation as we move forward from diesel perspective from materials and supplies. However, that's all incorporated in the guidance that we're projecting. So we have the opportunity to continue to manage with the demand that we see and the strength that we see in volumes moving forward, and we're very comfortable that we'll manage that very effectively as we move forward.
Paul Lang: Nate, this is Paul. I think one of the things that struck me in Q2 was it was an odd quarter for the PRB as I look back over the last 20 years. I can only think of a handful of times where Q2 jumped up in volume. And obviously, it's for a lot of the things we've talked about, natural gas. But I also think there's an issue out there that I don't think is I understand or is well understood and that is the mines did not react, I think, like a lot of people thought they would. The volumes picked up and the mines had trouble struggling. Now I think there is an element out there of that the belief that there is this endless tap in the PRB is probably a little bit misnomer. The amount of investment that's going on out there has really dropped, and the inventory people are carrying are much lower. And consequently, the ability to react like the old days, I think, has disappeared. And to a large degree, I think that's what you saw with our impact, our pickup in sales in Q2.
Nathan Martin: And I guess just on the back of that comment, Paul, are you guys having any issues with labor? Is that maybe slowing down any potential supplier response?
Paul Lang: Nate, I'll let Drexler talk about specifically, but the short answer is no. Look, in a lot of ways, we were very fortunate that we did the ramp-up of Leer South. We started that in a downturn. We were able to hire the mine fully and keep things online. But I got to tell you, I know others are having problems, but we're not trying to ramp up or do anything crazy. We're just trying to sustain. And Drexler, you got a different view?
John Drexler: No, that's a good commentary, Paul. Nate, I agree with Paul. I mean if you look around the industry, I think you are seeing others struggle and see challenges from a labor perspective. We've got a great opportunity with our portfolio. We have Tier 1 long-term low-cost assets. And I think the workforce sees that. They know that they get a fair compensation, good benefit package, outstanding safety performance, and they will get to be in an environment that provides them a tremendous amount of opportunity over a very long period of time, and that's very powerful. And I think we're very pleased with low turnover rates. With that being said, we're not naive to all of that. So we're constantly looking at ways internally to make sure that we're training our workforce, giving opportunities for people to step up through the ranks and earn their supervisor certifications and get their electrical cards all through training programs that we have in place just to make sure we continue to provide those opportunities. So we feel real good with where we are with our workforce and how we're moving forward. Once again, it's not something that we get complacent on or rest on our heels here. We'll continue to evaluate it. But we feel good with where we're at right now.
Nathan Martin: That's great color. Appreciate it, guys. And then just one last thing, I guess. You had a lot of good commentary earlier on the call as far as the potential uses of free cash flow. It seems like you attain your first goal is to improve your balance sheet. Just maybe one question related to that. Can you give us an idea what level of net debt or leverage you would feel comfortable with in this environment possibly before moving forward with what you call the measured capital return program?
Matthew Giljum: Nate, this is Matt. Pre-pandemic, we had targeted net debt levels around essentially neutral, holding as much cash as we did debt. And the reasons for that fairly conservative stance. We're in a pretty volatile industry, whether it's met pricing or thermal volumes in the way those can move around. Clearly, as we bring Leer South on another very low-cost asset that's going to hopefully be a home run in market environments like we've got today, but probably more importantly, as we think about the balance sheet, a pretty stable source of cash generation even in tougher markets. I think we can at least consider whether a little more leverage makes sense. The offset to that is as we look at the markets and their view of thermal coal, having to make sure that we've addressed any refinancing risk around the debt. So I think ultimately, we're going to start to move here in the back half of this year towards a much higher liquidity position, put ourselves in a spot much closer to where we've been historically. We'll look at the ways we can address our debt tower, really look at the refinancing risk. And to the extent we can refinance a portion of the nearer maturities that we've got, and fortunately, we don't have anything really that close. But to the extent we can refinance those, I think the path in terms of improving the balance sheet could be a little longer, but I need to make sure that we're not putting ourselves at any risk as we think about the refinancing of those as well. So kind of, I'll say, an open mind about how we're going to take care of the debt but clearly start building liquidity first, reducing the debt to give ourselves really the options that we need to take care of debt maturities as they come due is the way we're looking it. And as soon as we're in a position we feel we've got that under control, then the capital return is something that we think makes a lot of sense.
Paul Lang: Nate, I guess the only other thing I'd add is that we have the other relatively high-class problem. Our debt is very low cost. Most of this is -- I think our average is under 5%. So beyond looking at extending the term loan and maybe paying it down a little bit, this is pretty cheap paper we're holding, and we'll be pretty measured on how we deal with it.
Operator: We have time for one final question before we conclude today's conference. Our last question will come from Michael Dudas with Vertical Research.
Michael Dudas: What a difference a year makes?
Paul Lang: Amen.
Michael Dudas: Just briefly, I wanted to just touch on something Paul mentioned in his prepared remarks. You talked about the lag effect certainly of the Chinese situation in Australia and the import/export flows and then, of course, starting to catch up that little quicker in the global coking coal markets. As China or things start to normalize, and I'm not actually predict when, but does that environment still going to allow an opportunity for Arch to get above normalized reasonably prices for their coal even as the shifts occur? And I assume, obviously, the tightness of the supply market and the lack of response that you're seeing, it positions you to do that strategically given you're dealing with much more different customers than you had in the past?
Deck Slone: Mike, it's Deck, and thanks for the good question. Look, we -- it's hard to know exactly where this is all going to go. Clearly, we don't profess to have any great insights into when the issues between China and Australia gets settled and if they do. But I would say that even today, even if this proves to be sort of a longer-lasting kind of an issue, we've really set up nicely and positioned ourselves to move these additional volumes into China and are building some relationships that we think could be fairly durable. So we're enthusiastic about that. Right now, we see a pretty constructive supply/demand balance even with the lockout of Australian tons. So that's positive. And if you look at the steel demand and steel production so far in 2021, globally, it looks like we're on pace to be back at 2019 levels this year, if not above. In fact, China is going to be up 7% or 8% if you -- based on the first 6 months, the world ex China is up 1% versus 2019 levels. So a pretty rapid rebound. And then when we look at that versus sort of supply on the cooking side, we had a rationalization of about 35 million tons in 2020 of coking coal supply. And so as we look at that, we think that there is going to be plenty of pull here for coking coal volumes even with continuing tensions there in the Pacific Basin with Australia and with China. So we do feel good about the overall balance of the marketplace. If you look at where China is today, China imported about 4 million tons per month of coking coal last year. On average, this year, last few months, it's been around 3 million tons. So really has recovered a good bit relative to sort of where they were even without the Australian volumes. So again, we feel good about that balance. We feel good about our ability to maintain relationships within China. Quite frankly, as we've discussed, we have one large physical buyer that has signed up for term business and has proved to be a really solid customer and could be part of our order book for a long time even if things go back to sort of their more normal courses. So again, we feel good about being -- that we can be flexible, that we can react whether the situation persists, whether we see a reopening of the gates in China to Australian volumes. Either way, the balance looks really quite constructive to us. As you point out, significant underinvestment for the past few years and the pandemic has only exacerbated that situation. So we're going to -- we know the market -- it's a commodity market. We know we're going to see peaks and troughs. But overall and on balance, we see a pretty constructive market environment for the next 5 years or so.
Paul Lang: And Michael, Deck hit on it. The lack of investment longer term it's going to be real interesting to see the impact to that into the markets on a long-term basis. There's just a lack of investment around the world. As demand remains high, with large mining companies around the world not investing in replacing depleting reserves, it has the potential to create some very interesting opportunities in the long term as we look forward.
Deck Slone: Mike, that's actually evident even and if you look at sort of the supply response, as I said, we had about 35 million tons of coking coal that was rationalized from the market last year. If you look to the 6 months, we're on pace for less than half of that return to the market even with these prices. In fact, for the first 6 months, it's appreciably less. Now our assumption is that maybe 15 million to 20 million tons comes back into the market, but it's being pulled by much, much stronger pricing. Another data point just for the U.S. Q4 of 2018, there were 171 coking coal mines operating. If you look at Q2 of 2021, only about 123 coking coal mines operating. So significant rationalization and really minimal response, again, reflecting this idea that there's been underinvestment, very few expansion projects announced. And beyond just the decision not to move forward with investment, you have the issue of not being able to if you don't have access to capital in the U.S. And now we're also seeing permitting issues emerge in a significant way in places like Australia and Canada. And so a lot of downward pressure on supply and a lot of barriers that likely could keep this market in a constructive place for a while.
Paul Lang: I guess one final thought on the Chinese question. It was messy while the global trade routes kind of rejiggered themselves with the dispute between Australia and China. Now as that's done, the prices came up. And as Deck said, whether this lasts another month or another year, it doesn't really matter. I think the most important thing from our perspective is, it's clearly opened up a new set of customers in China that, frankly, we have not done a lot with the last couple of years. And probably more importantly, we've introduced this High-Vol A product, which is relatively unknown in China. And we're getting great reception for that. And I think for us, it's been a great positive.
Michael Dudas: Well, it's a good thing Arch is leading when everybody else lagged.
Paul Lang: Thank you, Michael.
Operator: That concludes today's question-and-answer session. Mr. Lang, at this time, I will turn the conference back to you for closing remarks.
Paul Lang: I'd like to thank everyone for your interest in Arch and taking the time to participate in our quarterly call today. These are exciting times at Arch. Our mines are running well, and we're ready to deliver Leer South into a robust market. The collective effort that made this possible is truly an indication of how strong our entire team is from the operating employees that worked through the pandemic with focus and professionalism to the marketing group that placed us in a great position to capitalize on the current environment and to the corporate staff that creatively financed and supported the effort during an unprecedented period. I'm very proud to be associated with such a high-performing team and eager to move beyond the development phase of this significant project. With that, operator, we'll conclude the call, and we look forward to reporting to the group in October. Stay safe and healthy, everyone.
Operator: This concludes today's conference call. Thank you all for your participation. You may now disconnect.